Operator: Please stand by. We are ready to begin.
Unidentified Company Representative: Good morning, and welcome to the Third Quarter 2018 Conference Call for Old Dominion Freight Line. Today's call is being recorded and will be available for replay beginning today and through November 3 by dialing 719-457-0820. The replay passcode is 3409151. The replay may also be accessed through November 24 at the company's Web site. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements among others, regarding Old Dominion's expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical fact, may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects, and similar expressions are intended to identify forward-looking statements. You're hereby cautioned that these statements may be affected by the important factors, among others, set forth in Old Dominion's filings with the Securities and Exchange Commission and in this morning's news release and consequently actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. As a final note before we begin, we welcome your questions today, but we do ask, in fairness to all, that you limit yourselves to just a few questions at a time before returning to the queue. Thank you for your cooperation. At this time, for opening remarks, I'd like to turn the conference over to the company's Executive Chairman, Mr. David Congdon. Please go ahead, sir.
David Congdon: Good morning, and welcome to our third quarter conference call. With me on the call today are Greg Gantt, our President and CEO; and Adam Satterfield, our CFO. After some brief remarks, we'll be glad to take your questions. I am pleased to report the strong financial results for Old Dominion's third quarter. It was another record-breaking quarter for us in terms of revenue and profitability. Financial results for the quarter reflect our ongoing ability to win market share which has been supported by the strategic plan we implemented many years ago. While there are many elements to this plan it is centered on people, our employees and our customers. Our OD family of employees worked tirelessly to build relationships with our customers and those relationships are strengthened by our ability to provide all time and claim-free service at a fair price. This value proposition is clearly differentiated in our industry as is our continuous investment in assets so that we have the ability to grow. The past results have demonstrated an ability to grow throughout the economic cycle and we are confident we can continue delivering long term profitable growth. Economic indicators continue to be positive and coupled with a capacity constrained industry to afford a favorable pricing environment as well as continued strength with our volumes. While we have persistently faced questions from investors throughout this year about when the domestic economy begin to slow it simply hasn't happened yet. 2018 may turn out to be one of the best operating years in our company's history and we're excited about the opportunity for continued growth in 2019. Before I turn things over to Greg, I would like to take a moment to pay our respects to Mr. Scott Britt from Corporate Communications who passed away unexpectedly last week. Scott had worked with us since we went public in 1991 providing guidance on our on Investor Relations and kicking off our earnings calls. He has helped us communicate our story and was a tremendous part of our team. We will miss Scott dearly and offer our deepest sympathy to the Britt and family and his colleagues at Corporate Communications. Here's Greg to provide more details on the third quarter.
Greg Gantt: Thanks David, and good morning. Old Dominion produced another solid quarter of profitable growth and our 78.4% operating ratio is a testament to our team's execution of our business strategies. The ability of our team to also maintain best-in-class service standards with 99% on-time and our claims ratio of 0.2%, while growing like we have this year has been remarkable. I firmly believe that our best-in-class service continues to drive our market share growth and I was pleased to see the increase in revenue that exceeded 20% for the third quarter in a row. Assuming normal sequential trends, I expect that our shipment growth will slow in the fourth quarter due to the acceleration in volumes that began in late September of last year. In addition we made strategic operational changes late in the second quarter of this year that negatively impacted some shipments and wait for shipment. Many of these shipments were eliminated from our network were transactional in nature, and generally more appropriate for the truckload industry. And these would have likely moved away from us anyway, when capacity loosens in the truckload sector. We made this call to protect the service standards that are so critical to our customers, while also preserving capacity to meet increased customer demand for LTL shipments. While these changes may have short term implications on volume trends, we continue to believe that we're better positioned than anyone in our industry to win LTL market share over the long term, while following the strategic plan that David referenced earlier. The five year and 10 year compound average growth rates for our revenue has been 11.5% and 9.6% respectively, and revenue growth thus far end of October has exceeded these numbers due to the ongoing strength of our yield. We would expect our yield to trend favorably in the fourth quarter, given the environment and the decrease in weight per shipment that generally results in an increase to revenue per hundredweight. The increases in density in yield during the third quarter contributing to the year-over-year improvement in our operating ratio. In addition, this was the first time since 2011 that our third quarter operating ratio was better than the second quarter of the same year. We believe, we can drive the operating ratio even lower, even in a slower growth environment by continuing to focus on ways to improve operating efficiencies, while carefully managing our discretionary spending. With opportunities to continue to win market share and improve our margins combined with the commitment to invest in the capacity necessary to continue to grow our business, we believe Old Dominion is in a unique position in the LTL industry. Our outlook for the economy and industry dynamics continue to be favorable which gives us confidence in our ability to produce further gains in long term earnings and shareholder value. Thanks for joining us this morning. And now Adam will discuss our third quarter financial results in greater detail.
Adam Satterfield: Thank you, Greg, and good morning. Old Dominion's revenue grew 21.2% to $1.1 billion and our operating ratio improved to 78.4% which is a record for the company and we believe the industry. The combination on these factors allowed us to increase our income before tax by 39.3%. Earnings per diluted share also benefited from a lower effective tax rate and increase 71% to $2.12. Our revenue growth for the third quarter included increases in both LTL volumes and yield both of which were again supported by the strength of the domestic economy and type capacity within the transportation industry. LTL revenue per hundredweight increased 12.5% and increased 9.0% when excluding fuel surcharges. LTL tons per day increased 8.1% as compared to the third quarter of 2017 with a 9.7% increase in LTL shipments per day. That was partially offset by the 1.4% decrease in LTL weight per shipment, which is primarily caused by the changes in the mix of our freight and factors just described by Greg. On a sequential basis, third quarter LTL shipments per day increased 1.4% as compared to the second quarter of 2018 which was below the 10-year average sequential increase of 2.7%. As expected LTL tons per day were also below our long-term sequential average. Given the strength in our yields however revenue per day increased 4.0% as compared to the second quarter of this year, which compares favorably to the 10-year average sequential increase of 3.6%. This was the sixth straight quarter that our sequential revenue trend is outperformed the long-term average. We expect that our revenue and tonnage growth rates will moderate in the fourth quarter. Given the material acceleration in revenue and particularly the weight per shipment that began in September of 2017, thus far into October, our LTL tons per day on a year-over-year basis has increased approximately 2%. But our revenue per day has increased approximately 15%. Our third quarter operating ratio improved 280 basis point is network density and quality revenue growth allowed us to improve both our direct operating costs and overhead expenses as a percent of revenue. As stated in our release this morning, we believe the current size of our workforce is appropriate and I do not anticipate any major changes in headcount during the fourth quarter. Going back to the second quarter of last year, we had hired at an accelerated pace to keep up with our growth. Some of our productivity metrics have taken ahead as a result. But we believe we can regain some of those lost ground now that our daily shipment counts are trending more in line with normal seasonality. Old Dominion's cash flow from operations totaled $250.7 million and $675.4 million for the third quarter and first nine months of 2018 respectively. Capital expenditures were $177.6 million for the third quarter and $469.9 for the first nine months of the year. We continue to expect total capital expenditures of approximately $555 million for the year, subject to the timing on certain real estate projects. We returned $39.8 million of capital to our shareholders during the third quarter, including $29.2 million of share repurchases. Total amount of shares repurchase and dividends paid for the year-to-date period was $108.6 million. Our effective tax rate for the third quarter of 2018 was 24.3% as compared to 37.8% in the third quarter of 2017, due primarily to the Tax Cut and Jobs Act as well as certain discrete adjustments made during the quarter. We currently anticipate our effective tax rate to be 25.9% for the fourth quarter. One final note before we open the floor for questions. We will no longer count Christmas Eve as a workday in our fourth quarter. This is a new holiday that we will begin providing to our employees this year. While there may be an impact on certain per day metrics and trends, we don't expect there to be a significant impact on our revenue. The fourth quarter of this year will now have 62 work days. Work days for 2019 will be 63 in the first quarter, 64 in the second quarter and third quarters and 62 in the fourth quarter. This concludes our prepared remarks this morning. Operator, we will be happy to open the floor for questions at this time.
Operator: Thank you. [Operator Instructions] And we will take our first question from Allison Landry with Credit Suisse. Please go ahead.
Allison Landry: Hi. Good morning. I wanted to just quickly ask about the length of haul, it's been seen maybe a couple quarters of a sequential increase, which I would think maybe with e-commerce trends and whatnot that, that might be getting shorter. So I just wanted to understand maybe what, what's driving that?
Greg Gantt: Allison, it's hard to say, it stayed relatively consistent has moved up a few miles, but I think that our percent of freight that's typically in the - our next day and second day lanes has stayed relatively consistent. It just may be that, maybe we're picking up a little bit more market share in some of our longer haul lanes that that may be skewing it quietly north a little bit. But certainly to your point, I think we continue to see and believe longer term that there will be more opportunity in shorter length of haul lanes these next day and second day lanes that we have very good service in. Our business model was unique though that, through one company we provide regional and regional and national service. And so there are times where our national longer haul lanes may be growing a little more, and we can be growing in those longer and regional lanes as well. But certainly longer term, we would envision just in general in the transportation space, weight per shipments to be declining, which will be good for the LTL industry, and length of haul shortening as well.
Allison Landry: Okay. That's really helpful. And so it sounds like, sort of not something to read too much into. And in terms of the way per shipment, I apologize, if I missed this earlier but you know obviously you guys have talked about you know sort of changing your strategy a little bit in the last couple of quarters but do you expect the weight per shipment on a sequential basis in Q4 to be similar to Q3 or does it normally see a sequential uptick?
Greg Gantt: Normally it increases a little bit slightly and I don't anticipate really a lot of major changes from here out. You know last year was when we were seeing a significant acceleration. It was September of last year if you recall our weight per shipment had been 1,550 pounds to 1,560 pounds or so in the first eight months of the year and September it went up to 1,620 pounds. And have accelerated there all the way to 1,660 in December. And so you know when we made some of these operational changes that Greg discussed we saw an immediate step down in our weight per shipment. In June we were at 1,622 pounds, in July we were 1,562 pounds. So as we go through the fourth quarter I think that you'll see a bigger decrease in weight for shipment and that's what we were talking about. Our shipment trends continue to be good. We feel like and we've got strong daily shipment volumes coming in but that delta and the weight per shipment that we will get even wider in the fourth quarter could if current weight per shipment trends hold we'll have more of an impact on our tonnage that we report.
Allison Landry: Okay, got it. That's super helpful. Thank you so much.
Greg Gantt: Thanks, Allison.
Operator: We will take our next question from Chris Wetherbee with Citi. Please go ahead.
Christian Wetherbee: Yes. Thanks. Good morning, guys. I wanted to touch a little bit on tonnage trends and maybe sort of think about What maybe you're seeing from your customers in terms of sort of the pace of activity certainly the comps are getting tougher and that seems to be speaking to you know at least some of the decline. You know a deceleration of growth I should say, but you know are you seeing maybe something a little bit more than that. Is it related to price actions or are you actually seeing some sort of softness in certain end markets that you're seeing customer wise?
Greg Gantt: We haven't seen any softness really in you know again part of the decisions that or the reason why we made the decision to eliminate some of these heavier weighted transact or shipments that were more transactional in nature from the network is just the continued strength that that we're seeing and the demand from inbound customer calls to continue to move their LTL shipments. Certainly, we have the ability to move heavy weighted LTL shipments and we still are. There are some shipments in the network that are up to 10,000 pounds and that's fine if we're moving them at the right price. But we felt like the demand, the ongoing demand continued to be strong and we wanted to make sure that we were protecting service and protecting capacity for that strength in those more average weighted LTL shipments if you will that we were seeing. So we haven't seen anything at this point, be at the macroeconomic numbers that we look at or customer feedback that would suggest any kind of slowdown.
Christian Wetherbee: Okay, that's helpful. And when you think out a little bit beyond 2018 to 2019, you gave us I think an update for October in terms of the revenue per day obviously it implies a pretty big yield number. How do you think or what do you expect the relationship between tonnage and yield to be as you go out into 2019. Should it be very overweight the yield side you can get sustainable as you guys are doing some of the work on the network to sort of restrict tonnage in certain places and focus on probably what's more profitable for you?
Greg Gantt: Well, from a yield standpoint right now certainly the decrease in the wafer shipment has kind of boosted that number. You know we put our general rate increase in effect in June and that was at 4.9%. And you know we don't give any longer contractual renewals, but typically we were targeting contractual renewals somewhere in that same ballpark and sometimes there are higher or lower. But know the optics in, if this current wafer shipment trend holds then certainly it may look like the revenue per hundredweight is it would continue to trend at a very positive level and we'll just see you know on the volume side how the shipments continue to trend.
Christian Wetherbee: Okay. And then just last one quick for me just sort of thinking conceptually about the overall comments at the beginning of the conference call. You've given us historically some benchmarks about incremental margins, obviously you've been outperforming. I think those over the course of the last couple of quarters, you know, any new sort of thoughts of what the right numbers should be as we look over time with the work can be at the company? Thank you.
Greg Gantt: Yes. I don't know that we're ready to give the long term what we think the operating ratio at least not, not here on the call today but you know I think long term we've said it many times that you know the incremental margin range is sort of in that 20% to 25%. And I guess as if we get closer to a 75% operating ratio we may have to update that. But you know I think we've gone through the math in terms of the relationship with direct costs versus our overhead costs and that's why we can generate incremental margins in the 30% 35% range in certain quarters, I don't know that we're at the point where that's the new long-term range for us, but certainly we've seen it two quarters in a row now with really strong incremental, and I think we've got a good opportunity again in the fourth quarter to have some strong margins.
Adam Satterfield: And into next year.
Christian Wetherbee: Got it. Thanks very much for the time this morning. I appreciate it.
Operator: We will take our next question from Brad Delco with Stephens. Please go ahead.
Brad Delco: Hey, good morning, guys.
Greg Gantt: Hey, Brad.
Adam Satterfield: Good morning.
Brad Delco: Adam, you touched on I guess expecting flat employee count in the fourth quarter. It's something that stood out to me on a year-over-year basis, FTEs were up 16.2%. And I think you said previously you expect that the trend in line with shipments that were up 9.7%. So, do you feel like you're overstaffed right now or can you provide some comments on where productivity is versus where you expect it to be? Because it seems like you have some excess capacity maybe in the network.
Greg Gantt: Brad, if anything maybe back earlier in the year we were a little behind with our numbers of employees. We got a little bit behind at our peak times, but I think since then we've certainly we've hired an adequate number. We may be slightly overstaffed at this point in time, but it's very, very slight. Certainly with the continued volumes as they are we will make those adjustments as they are needed, but I think we are definitely staffed at this point, and if need be we'll make adjustments as we see fit.
Adam Satterfield: Brad, this is Adam. I'll just add to that a little bit. But part of the decision making and making the hires this year is we continue to say we expect a strong year into 2019. So, we wanted to make sure that the workforce is not only appropriate for our current trends, but also what we may see going into next year and we also took a little bit out of purchase transportation that we had last year, that decreased just slightly but still that's the additional line haul runs that we're running that we may have had to outsource a little bit of last year when our volumes are accelerating.
Brad Delco: Okay. Got it. That's good color and that makes sense.
Greg Gantt: Brad, if anything also some of our folks were probably overworked if you will. Getting those hours adjusted to the more normal type of numbers on a weekly basis really, really makes sense for everybody. So, you can't kill the workforce if you know what I mean.
Brad Delco: I got that, makes sense. And then maybe a quick follow-up Adam, this is more nitpicky. But did you give September tonnage and I don't have June tonnage either in my model if you have that one. And then could you tell us what shipments were up in October thus far?
Adam Satterfield: On the September results, tons per day on a year-over-year basis were up 4.6%. And then shipment count in September was up 8.8%.
Brad Delco: Including shipments for October?
Adam Satterfield: Yes. Right now it's - one second, right now the October trend is approximately 6%. Again you can see that that bigger gap if you will, in terms of the weight per shipment and the impact that it's having.
Brad Delco: Yes. And I know when I think of ODFL, I think of the model we don't make excuses, we make money. But did Michael - did that Hurricane Michael have any effect on October trends? Noticeable?
Adam Satterfield: Hardly.
Brad Delco: Okay.
Adam Satterfield: There was some impact but, but hardly. And we're not going to make an excuse with it. But definitely there was some impact and we - we take it and we move on. But hardly.
Brad Delco: Cool, thanks for the color guys, good results and talk to you guys soon.
Adam Satterfield: Okay, thanks, Brad.
Operator: We will take our next question from Matt Reustle with Goldman Sachs. Please go ahead.
Matthew Reustle: Hey, good morning guys. Thanks for taking my question here. Just in terms of the business shift towards that lower weight per shipment. Can you talk about the impact that you'd expect to see through this cycle. I mean do you consider that to stick to your business in any way and just short-term impact and longer term impact as you see that shift?
Greg Gantt: I think we've already seen the short-term impact and some of this like we said we felt like was - was more transactional freight that if capacity loosened up, would have moved on terms that weren't ours. And so it may have been business that we were handling and coming to us either directly from customers or through [indiscernible] continue to try to find a capacity for the shippers traffic that they're managing. So you know I think that we were able to control the - the outflow of it, if you will. And so we've already seen and are seeing some impact on our volume trends as a result. But we felt like it was more appropriate to go ahead and make some of these decisions ourselves versus waiting on when capacity might change or might not change in the truckload sector.
Matthew Reustle: Understood. And just a follow-up on that, like, how much of that is towards that business is, is market share versus the customers in that space continuing to grow?
Greg Gantt: Our market share just in general continues to grow, I think that when you look over any long period of time, we continue to be one of the biggest beneficiaries, if not the largest in terms of when the LTL market is growing and that just gets back to our long-term model. We continue to give very good service at a fair price and we've got the capacity to grow. So those three elements have all got to work together and I think they work better for us than perhaps anyone else in the space. As we've said, we believe in what our business can continue to do and can continue to grow. And so, we're going to continue to reinvest in our service center network to give ourselves the ability to grow and we don't see any signs of slowing down and certainly the long-term opportunity will continue to be there for us.
Matthew Reustle: I guess, I ask it in different way, are you seeing any differentiation in terms of growth of that lower rate per segment business, versus growth in the higher wage?
Adam Satterfield: No, it's - you know just to be too blown out of proportion. These are not a large percentage share for us, but they're just you know can be very heavy weighted shipments. So it certainly, if you've got one 10,000 pound shipment versus our average that you know between 1500 pounds, 1600 pounds it can have an impact on the overall company weight per shipment, but it's not necessarily meaningful to our ability to grow.
Greg Gantt: Matt. This is great. When we were at peak back near the end of the second quarter when we raise the rates what was happening, customers couldn't get their truckloads moved in they were taken 30,000 pounds and 40,000 pounds shipment. Letting them up and ship it them over two, three, four day period. And that's what was in an up on our trucks and you know so instead of our ability to move our LTL we just in some cases, we were restricted and limited because we had these truckloads own. So those were the kind of shipments we cut out. They never were a large percentage of what we were doing. But they were so heavy, they did have an impact on our weight per shipment. So those are the types of shipments that we eliminated when we raise the rates and did what we did. So, like Adam said, never were a real big part of what we were doing.
Matthew Reustle: Understood. We're not - but look at the medium weight per shipment rather than the average I guess but very helpful. Thanks guys.
Operator: We will take our next question from David Ross with Stifel. Please go ahead.
David Ross: Yes, good morning gentlemen.
Greg Gantt: Good morning, David.
Adam Satterfield: Good morning.
David Ross: So question is mainly going to start with pricing, I'm just hoping you can help me understand more than 5% sequential growth in yield. I understand that the way per shipment having a positive impact on yield, but it was only down about 1% like the whole was relatively flat. So, I guess I'm just not understanding, the big jump in yields, maybe there's a freight commodity class adjustment or something that we're missing?
Adam Satterfield: Well, for the quarter we did get of - if you're comparing the third quarter to the second quarter of this year, we got our GRI in effect in June, so we had a full quarter impact of it this year versus last year's third quarter to second quarter it was effective in September. So, that certainly helped. But throughout the year, we've been trying to address underperforming accounts, and we've been trying to address yield in multiple ways, in some cases it may be fuel tables, and it could be a multitude of different ways that we try to address underperforming accounts and improving yields. I think that the environment has obviously been very favorable for all of the carriers and so that that's given us the support to be able to probably address maybe some of the underperformers that that needed to have some help if you will because our long-term philosophy is to focus on individual account profitability and that's what our pricing department does every day.
Greg Gantt: I'll add to that David, earlier in the year not only were we growing with our existing accounts and gaining more density and so forth. We brought on a lot of new accounts. And oftentimes when you bring on new accounts you bring them on under a pricing program, and certain assumptions, profitability and these new accounts, some of them are not as good as we thought they were from an LOR [ph] standpoint. So we with are with the type of systems we have and the way we can track the cost and profitability, and we began addressing those large accounts. As our volumes continue to grow we felt like we had to you know address those and keep servicing our accounts. So you know that's helped me yield a little bit later. And I was addressing it early year new accounts.
David Ross: That makes sense. And then, Adam what percentage of the business roughly is impacted by that GRI?
Adam Satterfield: About 25% or so.
David Ross: And then last question just I guess for David and Greg, how would you compare the economic environment or really the LTL freight environment versus past cycles you know whether you're talking about 2005-2006 in 2014 you know back into the 1990s does this remind you of any time period more so than others?
David Congdon: Overall this year it's probably been one of the strongest freight environments that we've seen…
Greg Gantt: Ever.
David Congdon: -- ever. So it really started cranking up in 2017 and going into 2018 it has just been one of the one of the strongest environments. You know right now we've got a solid book of business that is generally priced well and our year-over-year comparisons might start looking smaller in terms of the growth is concerned but we are still blessed with a solid book of customers that appreciate our service levels and our claim-free service. And we've struck a fair price for performing the services that we were asked to perform. And so and the services that we're asked to perform. And so we're just - we're optimistic about next year, the year-over-year because of the tough comparisons the growth may not look as good, but we think our opportunities for continued growth and for improving margins are still there and we're looking forward to a strong 2019.
David Ross: Great, thank you.
Greg Gantt: With a very strong - very strong top line revenue base to start the year with. Regardless of what the comparisons look like, the base is excellent.
Operator: We will take our next question from Amit Mehrotra with Deutsche Bank. Please go ahead.
Amit Mehrotra: Thanks, Operator. Hi everybody. One quick one, just with respect to the comment on the release about the headcount growth, the lack of headcount growth going forward. How much more tonnage and shipments I guess given the difference in the decline way per shipment, maybe shipments is a better way to look at it, but how much more shipments can you bring out of the network without adding incremental headcount?
Greg Gantt: It's hard to say, I do think we have some capacity right now for sure in our workforce as it stands, but we definitely can stand some growth without adding. So, that's a good thing. I think as our workforce becomes more productive, that's an even better thing for us. That's really where we're putting some focus at this point to try to improve the productivity and one all. So in some cases you can do more with less and I think that's where we're heading. So feel good about…
Amit Mehrotra: Yes.
Greg Gantt:
-- :
Amit Mehrotra: And then Adam you've talked about kind of 20% to 25% incremental margins, obviously you've been running more than that and every quarter we ask you when it's going to go down and you don't really you know - you don't have - seem to have a lot of visibility on that going forward or not willing to share that at least. But I guess with pricing seemingly quite strong, you have a little bit of maybe weight per shipment headwind and tonnage in positive territory. But you know obviously you have some very, very tough comps. I mean, and then just underlying you have a better book of business from a profitability standpoint, it seems like you've been calling some lower profit contracts and so, first as we look at perspectively just given the capacity on the structural cost side, why shouldn't an incremental margin stay at these levels at you know 30%, 35% just given all those moving parts?
Adam Satterfield: Just like we've said and we've got visibility into it. But yes, we don't always share. I think when we talk about the 20% to 25% range you know keep in mind in the first quarter that's where we were and I think that that you know we don't manage the business to incremental margins and there are may be periods where we're adding cost into the system. And you know those can be different versus what the top line revenue trend may be. We've still got some capital expenditures on the real estate side that that we need to add to the network and timing. And typically, you know in particular of this year and one of the reasons why the incremental margin strength has been very positive is - you know we've added thus far a six service centers to the network. Typically, there's a lot of inefficiency that comes as you add the service centers and we're doing it for to support our long-term growth. But when you look in prior periods, 2014 is a good example, we had a weaker incremental margin that year and a high growth period versus 2015 was a In a high growth period versus 2015 was a stronger incremental margin as calculated when our revenue growth was slowing. So we're going to continue to make decisions that are right for the long-term and to support our long-term revenue growth can be. And sometimes those may be out of sync in the sense of what the top line is doing.
Amit Mehrotra: Yes. One quick one from me if it's okay just nitpicky again, I'm not sure if you provided the sequential change in tonnage and shipments to the course of the quarter I'm just trying to understand kind of the slowdown in September was that more of a reflection of the strength up in prior months in the quarter and really how that compares to the historical on a sequential basis. That's it from me. Thanks.
Adam Satterfield: Yes. I'll give the monthly weight per shipment and I'll start with that. So in July and again that was when we had the biggest change that sequential decrease in the weight per shipment, but July versus June was a decrease of 5.4% and the 10-year average is a 2.1% decrease. In August it was a point 0.2% decrease versus a normal or the 10-year average being a 0.4% increase. And then September was a 2.4% increase versus the 10-year average is an increase of 3.2%. So that was on the tonnage side. On the shipments in July it was a decrease of 1.8% versus June, the 10-year average is of 0.8% decrease. Then August was a 0.6% increase versus the 10-year average 0.9%, increase. And September was a 1.8% increase versus 2.6% average increase.
Amit Mehrotra: And the first was weak, right, it was tonnage not weight per shipment, right, just to make sure?
Greg Gantt: Yes, tonnage.
Amit Mehrotra: Okay, great, thanks. Thanks for walking me through that. I appreciate it guys.
Operator: We will take our next question from Ariel Rosa with Bank of America Merrill Lynch. Please go ahead.
Ariel Rosa: Hey, good morning, gentlemen. So first question, I wanted to ask about the sequential change in the operating ratio. As we look from the third quarter to fourth quarter, it's been about 200 basis points to 300 basis points over the past few years. Is there any reason to think that that we should see variance from that kind of sequential change in the LR this fourth quarter?
Greg Gantt: Well, I don't want to give specific guidance there, but you're right. It's normally the 10 year average sequential is a 200 basis point increase in over the last five years the average has been 240 basis points. We'll - this year I think that we've obviously got up a little bit a slowdown in the revenue growth like we've talked about. But we'll continue to monitor the labor-to-revenue trends. I think we've got some opportunity on the productivity side as Greg just mentioned. And so we will be evaluating calls closely as we progress through the fourth quarter here. I think the strength - we had a lot of stars in alignment for the third quarter, and when you go up and down the income statement looking at some of those calls trends and so forth. There were a lot of things that went right for us. And so you just never know what - from one quarter to the next are certain things that aren't necessarily always in our control from an expense standpoint.
Ariel Rosa: Sure. That makes sense. So next question, I wanted to ask about the pricing guide, historically you guys have talked about targeting kind of 3% to 4% growth in pricing ex-fuel. Obviously given kind of the timing of the GRIs expected that you know third quarter was pretty strong, but it sounds like it's still trending you know pretty strong into October. I'm wondering to what extent you think that's sustainable or do you think it kind of migrates back to that 3% to 4% range?
Greg Gantt: That's long term that's what our revenue per hundredweight has trended in that 3% to 4% range and that's on a next fuel basis, so it's not necessarily what underlying pricing has done. I think that you know we look at it more on a revenue per shipment basis and then compared against our cost per shipment and there needs to be a positive delta there to support the continued reinvestment in real estate, technology and other things that our customers demand of us. So when you look and say going back to 2010, our revenue per shipment is probably up closer to 5% whereas our cost per shipment trends up closer to about 4% which is primarily the wage inflation that we've had and so forth. So, yes the revenue per shipment in the third quarter as you know is trending a little stronger than that. And I think performing better than cost and that does gets back to the strength and the yields and our ability to go out and get the yield increases that we needed this year and it's been supported by the favorable environment like we've talked about. But certainly the optics of those metrics like we mentioned earlier with changes in weight per shipment, there's no linear formula that that can tie through you know changes in weight per shipment necessarily to the revenue per hundred weight, but - but certainly as revenue - our weight per shipment rather decreases that generally has a positive effect on those yield metrics.
Ariel Rosa: Sure, that makes sense. And then just last question for me, David mentioned at the start of the call that you know OD has demonstrated this ability to grow through a cycle. You've obviously added a fair amount of capacity in the current up cycle, and I'm just wondering to what extent, we should be concerned maybe to that you know if there is a slowdown that OD could be left with some idle capacity, is that - is that a concern, how do you guys think about managing that risk?
Greg Gantt: Right now, we don't have that concern and frankly it gets back to believing and how we can grow the company over the longer run. As you know, we like to own our real estate and we think that's a competitive advantage that we have with the growth that we've had over the last couple of years. The amount of excess capacity that we have in the system is probably not as great as it has been in the past. We're probably closer to the 15% capacity range, if you will from a door pressure standpoint. And so, we're going to continue to - to look at service centers. We've - we've added six thus far, we've probably got one or two more openings that in the fourth quarter. And then looking out into next year, I would expect us to open a fair number of service centers as well. If there's any kind of short-term low, then you know we've got to think about longer-term not just managing to what short-term expectations and depreciation on the service centers doesn't really hit us too bad either. And so, those are - those are things we believe in hit us too bad either. And so those are things we believe in what our long-term capabilities are and we need to continue to invest and certainly our return on invested capital has been very strong and supportive of the - our ability to - want to continue to do invest in ourselves.
Ariel Rosa: Makes a lot of sense. Thanks for the time guys.
Operator: Our next question is from Todd Fowler with KeyBanc Capital Markets. Please go ahead.
Todd Fowler: Great. Thanks and good morning. Adam, on the salaries wages and benefit line this quarter, you're coming in just below 51% of revenue. Was there anything unusual either positive or negative from like a healthcare standpoint or anything we should think about or can you continue to see some leverage on that as the employee productivity ramps and as you slow the headcount growth going forward?
Adam Satterfield: Nothing unusual there on the benefit side, we typically give our fringe cost as a percent of salaries and wages and that was 35% this quarter. If you recall in the second quarter, it trended it down, it was just around 33% and I think we commented that we expected it to trend north a little bit in the back half of the year and it did. So, that was something that was kind of expected. But I think that we continue with the strength of the revenue growth, we're getting tremendous leverage on our salaries cost, our clerical cost. We're still seeing benefit on our productive labor cost as a percent of revenue as well and despite the 16% growth in headcount, it may be a little bit of lost productivity. I think that the support of the yield improvement and just the volume of revenue growth that we've had certainly allowed us to leverage most of our calls to everything primarily except for the operating supplies and expenses that were impacted by fuel.
Todd Fowler: Okay. And then historically if I go back in the model, maybe a five years or six years ago, that line item on a full year basis had been around 50% of revenue, and it's drifted high over the past couple of years. Structurally, as you think about the business, does that go back to roughly being 50% of revenue, or there things that have changed within the composition of the workforce or benefits that that makes that higher on kind of a run rate basis going forward?
Adam Satterfield: Going back when it was back in sort of 2012, 2013 and 2014, when it was below 50%, we were still outsourcing some of our line haul runs, particularly from the Midwest to the Pacific Northwest and to the Northeast, and our purchase transportation was more in the 4.5% of revenue line. So now that we're kind of in a, just call it a 2.5% range. We've taken 200 basis points of PT and move that up into salaries, wages and benefits, as well as there were some of that PT cost that goes into depreciation and operating supplies and expenses as well. So if you do a back of the envelope calculation, outsourcing may look like it is cheaper, but we believe that controlling the assets and controlling the service has been favorable for us, albeit it may be a little bit more expensive.
Todd Fowler: Okay. That helps. And just the last one that I had, Greg you'd made the comment that strategically coming into the third quarter, you thought that some of the heavier weighted spot freight was going to back to the truckload market at some point of capacity loosened. I don't know if you have visibility, I mean, can you - are you able to see, obviously you've made some pricing decisions that's impacted your metrics. But are you - can you tell that, has the truckload market loosened or some of that freight would be going back to the market had you not made those pricing decisions. Just trying to get a sense of the tightness or looseness in the truckload market in general and kind of the relationship between the spillover with truckload and LTL?
Greg Gantt: Todd, it does appear that it has loosened some of the demand for our services on those shipments is not what it was, not back in peak periods by any means. So it does appear to have loosened some.
Todd Fowler: Okay. Thanks for the color this morning guys.
Greg Gantt: Thanks.
Operator: Our next question is from Scott Group with Wolfe Research. Please go ahead.
Unidentified Analyst: Hey, good morning guys. It's Rob on for Scott.
Greg Gantt: Rob.
Unidentified Analyst: One more thing, when we're looking out to the fourth quarter obviously third quarter incremental margins were very strong. It feels like there could be even additional upside given that we've got slowing headcount growth relative - and a bigger spread or a similar spread between yield improvement versus kind of shipment growth. How should we be thinking about kind of incremental margins in near-term in light of that deceleration in headcount growth and then potentially uptick in productivity?
Greg Gantt: You know Rob, I don't know that you know we're obviously not going to come in and give any specifics, but you know I think I generally or earlier I was trying to generally say that, that certainly you know we can continue to have some strong incremental margins and certainly that is potential in the fourth quarter as well because you know we wouldn't expect anything materially to change from a yield standpoint I think they will continue to see the strength there and revenue growth is continuing materially to the change from a yield standpoint you know I think that we'll continue to see the strength there and you know our revenue growth is continuing as we said in October, it's at 15% and you know a lot - I know it sort of caught up in what the tonnage growth is versus just what the absolute level of revenue growth is. But you know at 15% revenue growth you know we're trending and kind of above what our long-term average, we've been able to grow the top line at about 12% to 13%, when you look over various periods of time, whether it's going back to 2010 or even going all the way back to 1997, when we started putting this plan in place and that's been supported or it's been comprised rather of kind of 7% to 8% growth on the shipments and the balance in the yield kind of 4% to 5% there to make up that difference and you know so I think that we've got revenue growth that - that's continuing at a strong double-digit pace and probably more of that made up in yield right now, you know even though we've still got strong shipment growth just slightly below maybe what some of those long-term averages are. So, it certainly sets up those to have what we believe could be a strong fourth quarter and you know a really strong finish to the year.
Unidentified Analyst: That makes sense and that actually segues nicely into my next question. Adam, in the last couple of calls, you've been talking quite a bit in terms of the fuel component of pricing. With regard to your fuel surcharges, are you now where you want to be kind of across your customer base as we leave third quarter 2018 or there are just still more opportunities to - to kind of make some adjustments there?
Adam Satterfield: I think you know fuel is has remained has increased, but it's remained relatively consistent this year, which is a good thing. I mean, it's increased a little bit sequentially as probably started the year at about $3 a gallon on average and in the third quarter is about $3.25. We had some customers that we've addressed the overall yield and the point I was making earlier there's multiple elements of the yield improvement that may have had a lower contractual fuel table, and so we've made some adjustments in certain places versus trading off fuel versus a base rate increase. I think it all kind of goes into the ball of wax that has been or yield improvement over the year.
Unidentified Analyst: Got it. And from an all-in basis, do you feel like that's where it should be or is there more opportunities net-net to kind of strengthen and drive at some levels is what we've been seeing recently?
Adam Satterfield: I think that where we are now, I don't know that there's many contracts left to that need to be addressed, and just depending on where fuel prices stay, if we stay in a fairly consistent band from where we are and maybe where we've even been if the recall I think it was 2016 when the price has declined and we waited to go back to our customers and address those when it was at on a lower part of the scale. But certainly we tried to look then at all elements of the scale and whether it's fuel prices being on the lower end or even north of where they are now to make sure that that we're paid appropriately for the cost because when fuel cost goes up, it's not just the cost of diesel fuel that we face. There's a lot of indirect impact in our total cost structure. We get through in many petroleum based products that we use. And so we see cost inflation and other elements just outside of the roll cost of diesel fuel.
Unidentified Analyst: Makes sense. I appreciate the time guys.
Operator: We will take our next question from Matt Brooklier with Buckingham Research. Please go ahead.
Matt Brooklier: Hey thanks. Good morning. I'll try to be quick here. Adam, do you have a service center count for at the end of third quarter?
Adam Satterfield: Yes. We're in 234.
Matt Brooklier: This year has been a growth year-over-year in terms of investments, as we're looking out to 2019 you have a sense for directionally where total CapEx could end up?
Adam Satterfield: We haven't finalized that at this point. We're starting now to - this is typically the time of the year where we start doing our planning out for 2019. But to my point earlier, I think that we would anticipate having another healthy year of real estate CapEx for sure.
Matt Brooklier: Okay. That's helpful. I appreciate the time.
Operator: Our next question is from Ravi Shanker with Morgan Stanley. Please go ahead.
Ravi Shanker: Thanks, guys. Just a couple of follow-ups here, just on the OR front, I was a little surprised you shared the commentary earlier on the call that even if we get a slowdown next year, you expect to the OR to kind of remain if not in the 70s or kind of at current levels-ish. Given that typically in slowdowns, we see customers become more price focused versus service. What gives you that confidence that that you can kind of retain OR's current level, is it on the cost side, is it on the service side, where do you think that sustainability lies?
Greg Gantt: Ravi, I think it's - we do have some opportunities on the cost side to make some improvements for sure. We've been in a dead run this year for most of the year, so I think you can equate a lot of what we do and if you think about where we've been, you could see that there are some opportunities there, so we surely hope so. But you know the economics that we work and the economy and whatnot certainly drive our pricing and drive a lot of what we do. So we're just going to have to wait and see. But we do think we have some opportunities within our network to make some improvements and if the economy holds then, we certainly think we can improve, even at a slower growth rate.
Ravi Shanker: Okay, understood. And just to clarify something you said earlier, did you say that you have about 15% spare capacity or no, I believe the number historically is about 25%?
Greg Gantt: Yes, that's about where we are right now, and there's no exact science to calculate and it's sort of between 15% to 20%, but you know probably on the lower end of that range. And you're right, we've historically we kind of try to target about a 25% excess capacity within the service center network.
Ravi Shanker: Okay, got it. And just lastly, there's been this prevailing narrative about LTLs in general is going to benefiting from e-commerce. Can you give us an update on that? I know what growth are you seeing on the e-commerce side, what percentage of your tonnage comes from e-commerce. And then probably more importantly, you know are you seeing any kind of mix shift in your tonnage base, which I think has historically been more industrial focused towards consumer?
Greg Gantt: Ravi, it's hard to say you know what's necessarily coming from e-commerce. I think, we need to talk more generically in terms of retail and every retailer needs to have some type of e-commerce presence. But we do believe that that we'll continue to see trends of smaller shipment sizes for retailers and that should push freight into the LTL environment. Certainly it's not something that's happening overnight, but it's happening. In addition, many retailers have got these on time in full programs which not only is good for LTL, but it's good for high service LTL carriers, and we've been able to grow our market share there. As a result in this most recent quarter, our retail oriented customers are growing between 25% and 30% and that's probably a little bit faster than our industrial oriented customers if you will that are growing sort of in the 18% to 20% range. And historically we had been about 60% industrial and about 25% retail and in industrials staying about the same, but retail is probably picking up a couple of points if you will, and it's moving a little bit higher. But I think industrial related freight certainly continues to drive not only our business but typically highly correlated with LTL business in general.
Ravi Shanker: Very helpful. Thank you.
Operator: Our next question is from Ben Hartford with Baird. Please go ahead.
Ben Hartford: Hey, good morning, guys. Adam any change on kind of the 30 service center count plus or minus longer term that you've been talking about?
Adam Satterfield: I think it's - we've probably lately been seeing more in the 40ish type range and say more in the 40-ish type range and you know that's one of those things that will probably consistently change. The reality is you know we think we know what we want our service inter base to be as we continue to grow the company but sometimes we find out that it may be having more service centers particularly in the metro area makes more sense from an efficiency standpoint. But you know I think we're in a pretty good shape now as you know we've got we're in the process of developing our plan for next year and I'd like to see a little bit more investment there. I'd be nice if we could find existing service centers but it seems like we've got to find more at this point land and then building out which takes a little bit longer and it's why over the last few years our service center count growth has slowed a little bit. But we're in good shape, I think we've got a good plan and we'll be reinforcing that long-term real estate plan here shortly as we start going through our annual strategic planning sessions in the fourth quarter.
Ben Hartford: Your cash balance particularly at quarter end has risen in recent quarters. As you think about the balance sheet as you pay in the context of OR having doubled this cycle if line of sight to continue to improve and presumably do you think about the cash management and leverage ratios a little bit more differently? In other words you've got a more sustainable underlying free cash flow base with the margin profile higher and as you start to have a line of sight to some of the way in the real estate needs, do you look at cash management a little bit more progressively and is there opportunity at minimum to take some of the cash levels down that you've seen rise over the past opportunity minimum to take some of the cash levels down that you've seen rise over the past year or so?
Adam Satterfield: Our cash balance really rose when we took a year-off of buying shares on that repurchase program. And it's - we've had probably a little increase this year, but we'd like to target being able to spend our operating cash flow into capital expenditures, and then returning capital to shareholders. And so with our share price at lower levels, now typically the way our repurchase program works where we're buying more shares and so maybe we'll use a little bit extra cash in that regard. But we'll continue to look at and go down the capital allocation priority scale and the first is certainly reinvesting in our sales and many of these service centers that we're looking at particularly in areas like California and so forth are going to be more expensive than for the land component than we've faced in the past. So that will certainly be one use and when we go down the spectrum and in end with returning capital to shareholders, and we'll continue to evaluate ways that maybe we can increase that as well.
Ben Hartford: Okay. That's helpful. Thank you.
Operator: And there are no additional phone questions at this time. I would like to turn the conference back to David Congdon for any additional or closing remarks.